Operator: Greetings, ladies and gentlemen and welcome to Hooker Furniture’s quarterly investor call reporting its operating results for the fiscal fourth quarter and year ended February 3, 2008. (Operator Instructions) It is now my pleasure to introduce your host, Mr. Larry Ryder, Executive Vice President of Finance and Administration and CFO. Mr. Ryder, you may begin.
E. Larry Ryder: Thank you, Anthony. Good morning and welcome to our quarterly conference call to review our fourth quarter 2008 and fiscal 2008 sales, earnings, and financial condition. We certainly appreciate your participation this morning. Joining me today is Paul Toms, our Chairman, President, and CEO. Due to a change in our fiscal year, we are comparing our operating results for the 14-week fourth quarter of fiscal year 2008 that began October 29, 2007 and ended February 3, 2008 with the 2007 two-month transition period that began December 1, 2006 and ended January 28, 2007. We will also discuss our 53-week 2008 fiscal year, which began January 29, 2007 and ended February 3, 2008, compared to the 52-week fiscal year that ended November 30, 2006, which we will refer to as fiscal 2006. During our call today, we may make forward-looking statements which are subject to risks and uncertainties. A discussion of factors that could cause our actual results to differ materially from management’s expectations is contained in our SEC filings and the press release announcing our fourth quarter 2008 and fiscal 2008 results. Any forward-looking statement speaks only as of today and we undertake no obligation to update or revise any forward-looking statement to reflect events or circumstances after today’s call. Now let’s get underway with some opening comments from Paul.
Paul B. Toms Jr.: Thanks, Larry and good morning, everyone. Before we get into the specifics of the 2008 fiscal year and fourth quarter, I would like to make a few general observations about the importance of the year in positioning the company for long-term growth and profitability. In past conference calls, we’ve frequently discussed the transition of our business model from a domestic wood furniture manufacturer to a complete home furnishings design, marketing, and global sourcing company. This year we moved beyond the transition phase to successfully executing that business model in an extremely difficult environment. We believe that our strong performance, driven by record net income and cash generation for the fiscal year, validated our strategy. Along with most of our competitors, our top line suffered in fiscal 2008 as we dealt with a soft retail environment. The impact of the economy on ourselves was compounded by our exit from domestic wood furniture production, yet despite a revenue decrease of about 10%, we were able to increase net income by almost 40%, improve our gross margin to 30.7% for the fiscal year compared to 28.9% for fiscal 2006, and improve our operating margin to 9.4% from 6.5%. The year was one of important accomplishments, positioning us for long-term success. Highlights of these accomplishments include diversifying the company while replacing some of the volume lost from domestically produced wood furniture through the acquisitions of Sam Moore Furniture in April 2007 and Opus Designs in December 2007. Both of these acquisitions present long-term opportunities for incremental sales growth and both expand our position as niche specialists in important niches, Opus in youth furniture and Sam Moore in occasional chairs with cover-to-frame customization. Second, we added three tremendously talented, very experienced individuals in new key senior management roles, vital to our future as a home furnishings marketing, design, and global sourcing company. We are very fortunate to have Alan Cole join us as Executive Vice President Upholstery Operations, along with Bruce Cohenour as Senior Vice President National Accounts and Business Development and Sekar Sundararajan as Executive Vice President Operations. Through the leadership of these individuals, we believe we will become a more important upholstery resource, develop more business for large national accounts, and manage our warehousing and distribution, logistics, sourcing, and supply chain operations more efficiently. Thirdly, we right-sized our finished goods inventory, reduced our overall warehousing footprint, improved our supply chain management and trimmed our cost structure by eliminating the ESOP and disposing of assets no longer needed in the business. We sold the Martinsville, Virginia plant, our last wood furniture manufacturing plant, and donated two High Point, North Carolina show rooms formerly used by our subsidiary, Bradington-Young, to a local university. We began to see the cost savings from eliminating the ESOP in fiscal 2008. And finally, we opened our West Coast distribution center in Carson, California in January of this year. We stocked over 500 of our best-selling products there for quick shipment at reduced inland freight costs to our customers in six western states, which should make us a more profitable and preferred vendor for these dealers. Now let’s get into more specifics for the recently completed 2008 fiscal year and fourth quarter, both of which ended February 3, 2008. To achieve record annual net income of $19.7 million, which is an increase of $5.6 million over fiscal 2006, and record earnings per share of $1.58 versus $1.18 in fiscal 2006, despite the retail challenges I’ve already discussed is gratifying. These achievements are a tribute to the progress our board, management team, and employees have made these last several years in repositioning the company. As a percent of net sales, gross profit margin increased approximately 180 basis points to 30.7% for fiscal 2008 and 28.9% in fiscal 2006, and to 31% for the fiscal 2008 fourth quarter, compared to 27.8% for the 2007 transition period. These improvements came primarily through higher margins on our imported wood and metal furniture. Overall operating income for fiscal 2008 increased by $6.9 million, or 30.3% to $29.7 million, from $22.8 million for fiscal 2006. Operating margin increased to 9.4% of net sales for fiscal 2008 compared to 6.5% in fiscal 2006. Fourth quarter net income of $4.6 million increased from a net loss of $18.4 million in the 2007 transition period. That transition period included the impact of $18.4 million in pretax charges for the termination of our ESOP and $3 million in restructuring costs related to the Martinsville plant closing. Earnings per share for the 2008 fourth quarter were $0.39 compared to a loss of $1.52 per share during the 2007 transition period. In fiscal 2008, the company recorded after tax restructuring charges of $190,000, or $0.02 per share related to the March 2007 closing of our Martinsville, Virginia facility. That compares to after tax restructuring charges of $4.3 million, or $0.36 per share recorded in fiscal 2006, principally related to the closing of the company’s last two domestic wood manufacturing plants in Martinsville, Virginia and Roanoke, Virginia. With our exit from domestic wood furniture manufacturing and the sale of our last domestic wood facility, which was completed in December 2007, we believe that restructuring costs are substantially behind us. Selling and administrative expenses declined $4.3 million or 6% to $67.2 million in fiscal 2008, compared to $71.5 million in fiscal 2006. However, as a percentage of net sales, selling and administrative expenses increased to 21.2% from 20.4%, due to our decline in net sales year over year. The decrease in selling and administrative expenses was primarily due to reductions in temporary warehousing and storage costs for imported wood products, lower early retirement and non-cash ESOP expenses, lower selling expenses driven by lower sales, and a gain on the settlement of a corporate owned life insurance policy, partially offset by $5.5 million in selling and administrative expenses incurred by Sam Moore since we acquired them in April 2007 and a $1.1 million charge related to the donation of two show rooms in High Point, North Carolina to a local university. Now, let’s turn to our top line performance and look more closely at how net sales played out in the year and in the fourth quarter. In fiscal 2008, consolidated net sales declined $33.2 million, or 9.5% to $316.8 million in fiscal 2008 from $350 million in fiscal 2006. The primary driver for this decline was a $34.1 million, or 74% decline in domestic wood furniture sales, drive by our exit from domestic wood furniture manufacturing completed in March 2007. This decline was partially offset by $20.8 million in net sales from Sam Moore in the nine months since acquiring them in April 2007. On a per day basis, consolidated net sales declined 10.6% to $1.24 million per day for the 255 shipping days of fiscal 2008, compared to $1.39 million for the 252 shipping days in fiscal 2006. Our imported wood and metal furniture and Bradington-Young upholstered furniture net sales per day declined 8% and 7.3% respectively. We are disappointed in our revenue decrease but we recognize that much of the short-fall can be attributed to our exit from domestic wood furniture production and the challenging economic environment we are operating in. Based on actual shipping days, net sales per day increased in the 2008 fourth quarter compared to the 2007 transition period. Per day net sales for the fiscal 2008 fourth quarter were $1.31 million per day based on 63 shipping days, compared to $1.26 million per day for the 39-day 2007 transition period, representing a 3.8% increase. During the past three quarters, we’ve established a pattern of solid and we believe sustainable results. That progress is evident in all key measures of profitability, along with continued enhancements to our balance sheet and income statement from the operational improvements we’ve made. The company has demonstrated consistency in our margins and our ability to generate cash flow. We believe inventory levels are appropriate to effectively service our customers. We’ve eliminated all assets no longer needed in our operations. Looking ahead to our next quarter, which will run from February 4th to May 4, 2008, we think business conditions will remain challenging based both on industry forecasts for a decline in shipments and our own slower incoming order rates for the fourth quarter of fiscal 2008, which declined 8% for Hooker and Bradington-Young combined compared to the November 2006 to January 2007 time period. At this point, I will call on Larry to take us through some balance sheet and cash flow statements.
E. Larry Ryder: Thank you, Paul. As Paul stated, we are pleased by our profit growth in this tough economic environment. We also continue to be gratified by the reduction in inventories and the strong cash position we’ve been able to maintain. We were pleased to generate a record high level of cash flow from operations of the company of $43.7 million in fiscal 2008. We used cash of $36 million to repurchase 1.7 million shares of the company’s stock, approximately $16 million to acquire Sam Moore furniture and Opus Designs, paid $5 million in dividends to shareholders, paid $2.5 million in principal payments on the company’s term loan, and invested $1.9 million in capital improvements. The company ended the year with $33.1 million in cash and cash equivalents, which compares to $37.4 million at the end of fiscal 2008 third quarter and $47.1 million at the beginning of fiscal 2008. Inventories were $46.4 million, excluding $4.2 million of Sam Moore inventory at year-end, a 26.1% decrease from $62.8 million at the beginning of fiscal 2008. Our progress in forecasting, logistics, and supply chain management have allowed us to manage our inventories down to what we believe are optimum levels while maintaining and even improving service levels. At year-end, assets totalled $175.2 million, decreasing from $202.5 million at the beginning of fiscal 2008, primarily due to declines of $14 million in cash, $12.2 million in inventory, and $3.5 million in assets held for sale. The company completed the sale of the Martinsville, Virginia facility property and equipment in the third and fourth quarters of fiscal 2008, receiving $3.5 million in proceeds from the sale net of selling expenses. In December 2007, the company donated two show rooms in High Point, North Carolina formerly operated by Bradington-Young to a local university. With the completion of the sale of the Martinsville plant and the donation of the show rooms, we believe that we have disposed of all assets not being utilized by the company and we have eliminated the related site operation and maintenance costs for those facilities going forward. The company’s long-term debt, including current maturities, declined by $2.5 million to $7.9 million at the end of fiscal 2008, from $10.4 million at the beginning of the year as a result of scheduled debt repayments. Since February 2007, the company has used $36 million in cash to repurchase 1.7 million of the company’s shares, an average share price of $20.98 per share excluding commissions. We believe that the repurchase of the Hooker shares has represented a prudent use of the company’s cash and has enhanced shareholder value. Our strong financial condition and cash flow have allowed us to simultaneously take advantage of opportunities to repurchase our stock at attractive prices while continuing to invest in the company’s future growth. Now I am going to turn it back over to Paul for the outlook.
Paul B. Toms Jr.: Thanks, Larry. We expect business to remain challenging for fiscal 2009. Our industry is negatively impacted by falling home values, the declining housing activity, tighter credit availability, and uncertainty in the financial markets, all of which have dampened consumer confidence. Most furniture at our price points represents a postpone-able purchase for consumers with discretionary income. Today we believe that there are fewer discretionary dollars available for consumer durables. However, we believe we have also demonstrated we can be profitable in this environment and as we stated in the press release yesterday, we have numerous efforts underway to grow our business. We believe we are well-positioned to reap the benefits when the economy turns around. That concludes our formal remarks and at this point, I will turn it over to Anthony for questions.
Operator: (Operator Instructions) Our first question comes from Matt McCall from BB&T Capital Markets.
Matthew S. McCall - BB&T Capital Markets: Thanks. Good morning, everybody. Let’s see, a couple of questions; first, and I don’t think you detailed some of the pressures but specifically on the SG&A line, it looks like we had a seasonally softer top line yet -- I guess just looking at SG&A, it looks like it ticked up a little bit. Can you provide a little bit more detail about what caused that number to go higher? And then what’s the kind of -- remind me of the seasonal items that impact SG&A.
E. Larry Ryder: Matt, I think I can give you a little bit of color on that. Of course, in the SG&A was included the $1.1 million for the High Point showroom. That fell into that category so that was probably the largest single item. Beyond that, in looking at some of the expenses that took place in the fourth quarter, we didn’t really have anything that was particularly unusual. We had higher utility costs that entered into the fourth quarter but there was really nothing that stood out as particularly troublesome in the SG&A, other than the $1.1 million.
Matthew S. McCall - BB&T Capital Markets: Okay, I mean -- just intuitively, I would imagine $1.5 million lower top line, you would see the benefit of lower commissions and maybe some relief on the SG&A line. No items that you could point to that would be -- so it’s utility costs, I assume that’s just inflation pressures. That would be about it?
E. Larry Ryder: And getting into the [heating] season -- yeah, that’s pretty much it. I’m not aware of anything else, are you?
Paul B. Toms Jr.: I think you are right that commissions are variable and obviously fluctuate with sales. Commissions as part of our total selling and administrative costs represent less than 25%, so a lot of the selling and administrative costs are fixed.
E. Larry Ryder: Remember also, Matt, that in selling and administrative, we capture all of our warehousing costs, so warehousing costs tend to be a relatively fixed cost over a long period of time. And when you’ve got that top line that’s diminishing, it is a little bit higher percentage.
Paul B. Toms Jr.: I think also this year, we had Sam Moore’s selling and administrative captured in our total where we didn’t in the transition period.
Matthew S. McCall - BB&T Capital Markets: Right, okay. I was actually comparing to the previous, to the October quarter but that’s all very helpful. And then you talked about the opening of the West Coast distribution center. I was thinking that there might have been an impact on the cost line there but I noticed -- I was anticipating some type of pressure on the inventory line as you opened up that facility, or some type of increase on the inventory line. I didn’t really see that. Did that occur within the -- or during the quarter and was alleviated or did you just not see that impact?
Paul B. Toms Jr.: Well, first of all, we’ve been planning the opening of that facility for six months, so you really look at it as not trying to add inventory just to reposition it and we were able, as we placed orders for production overseas, to have part of what we would typically purchase routed to Southern California. We also transferred some inventory from our Virginia facilities to the West Coast facility. As far as costs, we actually had some cost fall into January, which would have been in last fiscal year a couple hundred thousand dollars facility opened at the beginning of this quarter.
E. Larry Ryder: And Matt, I’ll also say that even though we planned our inventories well, we still have the same footprint on the East Coast that we had at the -- prior to the opening of the West Coast warehouse, so we’ve still got fixed costs there. There may be an opportunity to shrink that footprint to some extent and cut back on some of the fixed costs as the year wears on.
Matthew S. McCall - BB&T Capital Markets: Okay, that’s helpful. You know, I think you referenced in the release, I believe you did, the focus on national accounts and those non-traditional distribution channels. Can you give us any update on customer wins, on how -- the success that you are seeing in those two initiatives?
Paul B. Toms Jr.: I can and I’d be happy to do that. Bruce Cohenour has I think done a very good job in the year that he’s been here. We didn’t expect immediate results but I think we’ve had good progress with -- for the first time in probably four or five years have placed a new group with [Haverty’s]. It hasn’t shipped yet but will later in the -- probably mid-year. We’ve also developed some initial business with Crate and Barrel. It’s been several years since we had any product in their assortment. And then --
Matthew S. McCall - BB&T Capital Markets: I’m sorry, has it shipped yet, Paul?
Paul B. Toms Jr.: Yes, we’ve shipped some initial product and we’ve added some product beyond that, so things -- I think he’s positioned us to grow with that account, which was one of his targets. He developed a nice program pretty quickly with a retailer in the Northeast that unfortunately filed for bankruptcy not that long ago. And also, he’s helped us with some of our existing accounts that are maybe not national in scope but an account like an Art Van that controls 50% of the market share in Michigan. We’ve been off their floors for three or four years and Bruce, along with the sales representative in that area, have been able to get us back on the floor in a meaningful way. Those are the ones that come to mind quickest. He’s also working with Z Gallery on the West Coast and some of the catalog houses like Front Gate and Ballard Designs.
Matthew S. McCall - BB&T Capital Markets: And given the cautious outlook for the industry as a whole, are these types of initiatives going to be enough to offset the weakness that you expect just from the market being soft in the next fiscal year?
Paul B. Toms Jr.: That’s hard to say. No, I don’t know that Bruce’s efforts in this year are going to totally offset the other 95% of our business. I think this year is a little bit of an unknown. We certainly think it’s going to be challenging, at least as challenging as last year, but I think there is still a little bit of hope that things might get better later in the year and I would say in the fall and maybe after the election, and given that our year doesn’t end until close to January 31st next year, hopefully we can see a little bit of an up-tick from our existing customer base towards the end of the year.
Matthew S. McCall - BB&T Capital Markets: Okay, thank you and one last question -- the CapEx outlook for this fiscal year and then would the focus still be on share buy-back?
E. Larry Ryder: Matt, right now we’ve got about $3 million left in the share buy-back. The board of directors will be meeting later this month and determine where we go from there. CapEx estimates for next year, about $4.26 million for next year. Most of those will be in warehousing and distribution, as well as software development.
Matthew S. McCall - BB&T Capital Markets: Okay. All right. Thank you, all.
Operator: Todd Schwartzman with Sidoti & Company has our next question.
Todd Schwartzman - Sidoti & Company: Good morning, guys. Larry, did you just say the CapEx forecast is 4.26?
E. Larry Ryder: Yes.
Todd Schwartzman - Sidoti & Company: Okay. Can’t be more precise than that? And Paul, you had mentioned the order rate down 8% -- was that a Q4 number?
Paul B. Toms Jr.: Yes.
Todd Schwartzman - Sidoti & Company: Okay. Can you talk to subsequent to that -- a change in pacing, if any?
Paul B. Toms Jr.: No, I really can’t, Todd. I think things are -- probably the fourth quarter is typical of the way things have been for the last two quarters and I don’t see it changing significantly in the next quarter or two.
Todd Schwartzman - Sidoti & Company: And in terms of the product lineup where you are now, are you where you want to be when housing and the economy recovers, so that a typical sale then will be less transactional -- I’ll say maybe one or two pieces versus furnishing an entire room? Would you still have some work to do on that front?
Paul B. Toms Jr.: Product wise, we are pretty well-positioned. We are in the categories that we have targeted. We have added I think youth bedroom in a more meaningful way through the acquisition of Opus. We are a more important chair resource through the acquisition of Sam Moore. Not really bringing any new product categories to market that I am aware of this coming week -- just trying to continue to branch out and be a more important resource in the categories we are already in. We’ve probably taken a little bit more of a transitional style approach in some of our products because we kind of feel like maybe that’s where the market is headed. But I think really in terms of product, not a lot of changes in the categories we’re in.
E. Larry Ryder: But to answer your question also, Todd, I’d say that our position right now in upholstery is good because generally speaking when people want to freshen a room, a lot of times they’ll use the upholstery as that item to freshen and bring some color into a room. We’ve got plenty of opportunities to do that. And as you well know, we’ve got a tremendous niche in the import wood business, case goods business that have a lot of single unit pieces that can be added simply to a home.
Todd Schwartzman - Sidoti & Company: On the upholstery side, how many domestic plants do both Bradington-Young and Sam Moore have?
Paul B. Toms Jr.: They have three assembly plants and then there are a couple of source plants, one that houses the leather for Bradington-Young and does the cutting and sewing, and then a frame plant also at Bradington-Young. But three assembly plants - two at Bradington-Young and one at Sam Moore.
Todd Schwartzman - Sidoti & Company: And in the fourth quarter, was there any disconnect in terms of the business by geographic region? Or is it basically the weakest housing markets were your weakest markets as well?
Paul B. Toms Jr.: Exactly correct. The housing -- the areas that had I guess the most depreciation in housing values in the years running up to this downturn are the ones that are hurt the most -- Southern California, Las Vegas, Arizona, and Florida.
Todd Schwartzman - Sidoti & Company: And when, just to refresh, when do the ESOP cost savings anniversary? Which quarter would that be?
E. Larry Ryder: We completed the sale in January of last year, Todd, in the transition period.
Todd Schwartzman - Sidoti & Company: All right, so that’s -- that’s gone then?
E. Larry Ryder: That’s gone. There’s no ESOP costs in the 2008 fiscal year.
Todd Schwartzman - Sidoti & Company: Perfect. All right, thanks, guys.
Operator: (Operator Instructions) Our next question comes from Carl Dorf with Dorf Asset Management.
Carl Dorf - Dorf Asset Management: Good morning, gentlemen. My question is sort of a general one -- in the very strong housing market that we had, furniture didn’t seem to benefit. We didn’t get the follow-through and obviously now things are on the down side of that. Can you -- do you guys have any thoughts as to why you really never benefited, at least from my perspective, from the very strong market in housing that we had?
Paul B. Toms Jr.: I think both at Hooker but more importantly in the industry, when housing was strong you had two things going on that maybe masked the amount of furniture that was being sold. One is you had this tremendous shift of where furniture was produced, and so I think the companies that you could follow, the domestic, publicly traded companies were for a large part closing plants and downsizing their domestic presence and people that were maybe gaining were companies that were either based offshore or companies like Hooker and some others that had a large import component. But I know from our standpoint from 2001 until 2007, most of that time when housing was really strong, our domestic business was going away pretty rapidly and our import business was growing at 20% to 25% a year. But you know, it was just almost enough to offset the shrinkage in our domestically produced furniture. You also had, I think everybody would agree, some amount of deflation in the price of furniture. So you may have been shipping more units but the dollars would have been maybe equal to what they were because of that deflation. I think those were the dynamics that were occurring at the same time the housing activity was so strong.
Carl Dorf - Dorf Asset Management: I guess what I’m getting at, I would have thought that if it was that strong, at least in that environment, even with some deflation in it that the closing of the domestic facilities would have been overshadowed by a greater amount by your imports and you still would have been getting some net benefit and it would have been represented in the sales figures, but that didn’t happen. So I guess what I’m really looking at, and I think you are implying that that may not be the case, is that is there -- would there be some considerable latent demand still sitting here that wasn’t satisfied in the last run-up in the housing market that could come into this market of when you do eventually get an improvement?
E. Larry Ryder: I guess I’d say we stopped talking about the pent-up demand a couple of years ago, I’m afraid. But I think you are right. I think during that housing market, I think a lot of people took advantage of low refinance rates, of good housing bargains and stretched as much as they could to get into the homes that they could. We are seeing the results of that now with some of the adjustable rate mortgages and people getting squeezed and not being able to release those dollars that may have otherwise been available for furniture purchases. But I would tend to agree with you. I would say that there probably is a pent-up demand. There’s a lot of under-furnished homes I think in America today and I think there’s an opportunity out there for us and other furniture companies to take advantage of that. But to do that, we’re going to have to get the stars aligned with consumers. They are going to have to be happy with their investment portfolios, their job security, and not be afraid of the economy that they are in in order to let go of those disposable dollars.
Carl Dorf - Dorf Asset Management: Thank you, gentlemen.
Operator: Mr. Toms and Mr. Ryder, it appears we have no further questions at this time.
Paul B. Toms Jr.: All right. Thank you.
E. Larry Ryder: Thanks very much.
Operator: Ladies and gentlemen, that does conclude our conference for today. We appreciate your participation and please have a wonderful rest of the day.